Operator: Welcome to the Glimpse Group Q1 Fiscal Year 2024 Financial Results Webinar. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. The earnings release that accompanies this call is available on the Investors section of the company’s Web site at https://ir.theglimpsegroup.com/. Before we begin the formal presentation, I’d like to remind everyone that statements made on today’s call and webcast, including those regarding future financial results and industry prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company’s regulatory filings for a list of associated risks, and we would also refer you to the company’s website for more supporting industry information. I would now like to hand the call over to Lyron Bentovim, President and CEO [Technical Difficulty].
Lyron Bentovim: Thank you, everyone for joining us. I am pleased to welcome you to The Glimpse Group’s first quarter fiscal year 2024 financial results investor call for quarter ended September 30, 2023. This quarter was highlighted by continued execution on our strategic realignment of Glimpse towards providing immersive enterprise software and services that are driven by spatial computing, cloud and AI. Q1 FY 2024 revenue of approximately $3.1 million, a 7% quarter-over-quarter increase compared to Q4 FY 2023 revenue of approximately $2.9 million and a 22% decrease compared to the record revenue of approximately $3.95 million in Q1 FY 2023. We continue to make strong progress in our previously detailed strategic shift to spatial computing, cloud and AI-driven immersive software solutions. We also expect to announce significant contracts in the coming months. In parallel, we have been realigning the company, reducing head count and our investment in non-core areas while working on divesting non-core assets. As we make this transition, we expect Q2 FY 2024, a quarter are in currently to have lower revenue, but also expect a rebound in Q3 FY 2024, calendar 2024 Q1 revenue as we begin to recognize revenue and growth relating to our special core products and solutions. As I discussed on our last earnings call, we strongly believe that for the immersive industry to reach its full potential and mass scale, it must be untethered from the computing limitations of traditional devices, whether they are VR headset, AR headset tablets and phones. Spatial core developed by our subsidiary company, Brightline Interactive is the technological engine that allows us to simultaneously integrate legacy immersive technology systems with state-of-the-art cloud systems built on open standards for accelerated computing in large scale. By harnessing the essentially infinite scale of GPU access provided by our partners in WIDIA and Microsoft, Brightline is creating powerful AI workflows for massive and quick compression of complex simulations and immersive experiences, which are computed in the cloud in real time and then deliver to the end devices. Live examples of this include robotics training, digital twin based simulations, rapid immersive content creation and multiple Department of Defense applications. Spatial core will be the growth engine of Glimpse and as such, we are realigning the business to reflect that, including divestiture or shutdown of non-core activities and subsidiaries. The subsidiary companies that remain primarily QReal and S5D are expected to be net positive cash contributors. As Maydan will detail in his prepared remarks, we have taken significant steps to reduce our operating expense base. Recently raised capital in clean structure and continue to maintain a clean balance sheet. With that, I will now turn it over to Maydan Rothblum, Glimpse’s CFO and COO to review the financial results. Maydan?
Maydan Rothblum: Thanks, Lyron. I will limit my portion to a summary review of our financial results, a full breakdown is available in our 10-Q and in the press release that were filed after market close today. Please note that I'll refer to adjusted EBITDA and other non-GAAP measures. For the calculation of adjusted EBITDA and other non-GAAP measures, please refer to the MD&A section of our 10-Q filing, which you can find on our website under SEC filings. Revenue for the three months ended September 30, 2023, was approximately $3.1 million compared to approximately $3.95 million for the three months ended September 30, 2022, a decrease of approximately 22%. The decrease reflects Q1 fiscal year 2022 being our record revenue quarter. In addition to the effects of our internal structuring and a lengthening of our sales cycle in general in the immersive technology industry. Gross margin for Q1 fiscal year 2024 was approximately 62% compared to 69% for Q1 fiscal year 2023. We expect our gross margins to continue to remain in the 60% to 70% range depending on the revenue mix in a specific quarter and we expect our margins to be at the higher end of the range in the second half of the fiscal year as our strategic shift comes into place. Adjusted EBITDA loss for Q1 fiscal year 2024 was approximately $1.29 million compared to an EBITDA loss of approximately $1.05 million for Q1 fiscal year 2023, which had a higher revenue base. In the past year, we have reduced headcount by approximately 40% and will continue to do so as part of our strategic plan. This will enable us to going forward, reach cash flow neutrality at approximately this quarter's level of revenues annualized, excluding growth investments. Just to illustrate, a year ago, our cash breakeven point was approximately $20 million of annual revenue. Today, we are approaching cash breakeven at approximately $12 million of annual revenue. After the closing of the previously reported registered direct financing on October 3, 2023, the company's cash position was in excess of $6.5 million. As Lyron mentioned, the company has no outstanding corporate debt, convertible debt or preferred equity obligations. On November 13, 2023, the Board of Directors authorized the company to enter into a common share repurchase buyback plan of up to $2 million to be utilized over the next three years. Since we are committed to investing in the growth opportunities in front of us in the operations of the business, we do not anticipate utilizing this plan once it has been put in place in the next week or so. That being said, we may utilize the buyback in cases where extraordinary circumstances regarding our stock price create exceptional value opportunities for the company. I'd now like to pass it back to Lyron for some closing remarks, after which we will begin our Q&A session.
Lyron Bentovim: Thank you, Maydan. Our special core initiative has the potential to be a key enabler for the immersive industry's transformation from a hardware-centric solutions to those driven by cloud compute and AI. We are all in on this initiative, focusing our R&D efforts on bringing solutions based on this technology to market in 2024, with the other remaining Glimpse subsidiary company is expected to support this effort by generating positive cash contributions. We continue to make strong progress in the development of the underlying special core technologies and in addition to the previously announced customer contracts we expect significant contracts to materialize in the coming months. In parallel, we have made large strides towards reaching cash neutrality at the current level of revenues and have a clean balance sheet to support our growth investments. I thank you all for your interest and support of Glimpse Group. And now I'll turn the call back over to the operator to take some questions.
Operator: Thank you, Lyron. [Operator Instructions] There are no questions coming. We do have a question from Casey Ryan with WestPark Capital. Please pose your question. Your line is live.
Casey Ryan: Gentlemen, thanks for the update today. I think when you announced the initial restructuring, you were talking, there are sort of multiple entities that you may be looking to do take strategic actions with. Do you have any update on that or any sense of like how much value there is in those or the opportunities or interest from other parties around sort of what deemed as non-core now moving forward?
Lyron Bentovim: Thank you for your question, Casey. So we are in the process of looking at the companies we have, understanding which one of these should stay within Glimpse and continue to operate. And as we mentioned in the prepared remarks, generate cash flow that will drive our company forward and which ones are better off kind of being on the outside and then exploring the right structure. So we haven't kind of got into full decision point on those yet, and we will update probably in the coming quarters as kind of the progress around that.
Casey Ryan: Yes. Maybe my thinking was too short on the time line of those. So it sounds like maybe this is sort of a 12-month process, not sort of a three-month process, I think.
Lyron Bentovim: Probably closer to three months than 12 months, but we just had our kind of strategic realignment call a month ago. So we're still working on that.
Casey Ryan: No, I'm not trying to pressure you, but I'm excited to get the update. So – and then the other question, it sounds like you have some visibility into what the revenue shape looks like. Is that a change? Or is that related to maybe one specific opportunity that you have high probability on. I'm just sort of curious if like as you change the business and focus on the spatial core opportunities that maybe your visibility is extending out in some fashion?
Lyron Bentovim: Yeah. No, I actually think that as we transition the business, we will have more visibility since some of these engagements will be more of a long-term nature, and we will be able to see the revenue and the work that will be done over the period. So I do see more visibility now than we had in previous quarters.
Casey Ryan: Okay. Good. Well, that's exciting. That's it for me right now. I'll jump back in the queue. Thanks for the update.
Lyron Bentovim: Thank you, Casey.
Operator: At this time, we'll turn to some write-in questions. Again, if you'd like to ask a question, please use the chat function.
Lyron Bentovim: I do not see any writing questions, so I would like to thank each and every one of you for joining our earnings conference call. We look forward to continuing to update you on our ongoing progress and growth. If we were unable to answer any of your questions, please reach out to us directly. Thank you, everyone.
Operator: Thank you. This does conclude today's webinar. Thank you for your participation, and have a wonderful day. You may disconnect your phone lines at this time.